Operator: Good morning, ladies and gentlemen, and welcome to the CareCloud Inc. First Quarter 2024 Results Conference Call. [Operator Instructions]. Following the presentation, we will conduct a question-and-answer session. [Operator Instructions]. Also note that this call is being recorded on Tuesday, May 14, 2024. And I would like to turn the conference over to Liz Ferrer, Vice President of Human Resources. Please go ahead. 
Elizabeth Ferrer: Good morning, everyone. Welcome to CareCloud's First Quarter 2024 Conference Call. On today's call are Mahmud Haq, our Founder and Executive Chairman; Hadi Chaudhry, our Chief Executive Officer and Director; Stephen Snyder, our President; and Norman Roth, our Interim Chief Financial Officer and Controller.
 Before we begin, I would like to remind you that certain statements made during this conference call are forward-looking statements within the meaning of Section 27A of the Securities Act of 1933 as amended and Section 21A of the Securities Exchange Act of 1934 as amended. All statements other than statements of historical facts made during this conference are forward-looking statements, including, without limitation, statements regarding our expectations and guidance for future financial and operational performance, expected growth, business outlook and potential organic growth and acquisitions.
 Forward-looking statements may sometimes be identified with words such as will, may, expect, plan, anticipate, upcoming, believe, estimate or similar terminology and the negative of these terms. Forward-looking statements are not promises or guarantees of future performance and are subject to a variety of risks and uncertainties, many of which are beyond our control, which would cause actual results to differ materially from those contemplated in these forward-looking statements.
 These statements reflect our opinions only as of the date of this presentation, and we undertake no obligation to revise these forward-looking statements in light of new information or future events. Please refer to our press release and our reports filed with the Securities and Exchange Commission where you will find a more comprehensive discussion of our performance and factors that could cause actual results to differ materially from these forward-looking statements.
 For anyone who dialed into the call by telephone, you may want to download our first quarter 2024 earnings presentation. Please visit our Investor Relations site, ir.carecloud.com, click on news and events, then click IR calendar, First Quarter 2024 Results Conference Call and download the earnings presentation. Finally, on today's call, you may refer to certain non-GAAP financial measures. Please refer to present day's press release announcing our first quarter 2024 results for a reconciliation of these non-GAAP performance measures to our GAAP final results. With that said, I'll now turn the call over to our CEO, Hadi Chaudhry. Hadi? 
A. Chaudhry: Thank you, Liz, and thanks to all of you for joining our first quarter 2024 earnings call. As we discussed in our most recent earnings call, this year, we will continue to remain steadfast be focused on increasing profitability and free cash flow. To achieve this overarching objective, our team will leverage our proven technology expertise and AI, our integrated global workforce and our core competencies related to integration and cost rationalization.
 Our first quarter results demonstrate that we are making progress on our objectives. In particular, since October of 2023, we have identified approximately $22 million of annualized cost reduction by year that we are working to implement. The early results of these cuts are beginning to be seen as cash from operations increased to $4.1 million as compared to $1 million during the first quarter of last year and our adjusted EBITDA was $3.7 million. This increase in cash enabled us to pay down $2 million of our credit facility, $1 million during Q1 and another $1 million so far in the second quarter.
 These improvements in profitability are in spite of the fact that our revenue which was $26 million for the first quarter was lower than first quarter last year, primarily due to the lower nonrecurring revenue for Med SR. Year-over-year, we saw improvements in our digital health offering with revenue growing nearing 4x. We continue to remain confident that the cross-selling opportunity of higher margins, tech-enabled RCM to our nonrecurring professional services client will continue to represent a significant opportunity for growth.
 We continue to align our expenses with our revenue and are focusing on the opportunities that generate the best return on investment. Our primary objective will remain centered on profitability and free cash flow, supported by a company-wide commitment to operating leverage and improving our competitive position. Norman will cover these results in more detail later in the call.
 Turning to our products. As our investors know, our proprietary end-to-end platform is fully integrated and designed with the flexibility to be adapted across markets and to meet the evolving needs of our clients, the overwhelming majority of whom utilize more than one CareCloud solution. We continue to see rising demand for our digital health and generative AI solutions as we are eager to meet this demand with our scalable solutions and specialized workforce.
 In Q4 of 2023, we were thrilled to introduce our groundbreaking suite of generative AI solutions, CareCloud cirrusAI. This innovative platform has empowered our revenue cycle management team with a generative AI-based appeals product revolutionizing the appeal generation process with unparalleled effectiveness and cost efficiency. Additionally, we have seamlessly integrated a virtual support assistant into our offering, ensuring that we valued customers receive enhanced and timely support.
 The Care Cloud cirrusAI guide represents a significantly forward in leveraging AI to deliver clinical decision support by streamlining data input processes and providing real-time evidence-based recommendations. It assists clinicians in their workflow, ultimately enhancing diagnostic accuracy and treatment planning. By analyzing past medical and social histories alongside current symptoms, it generates suggestive patient charge facilitating informed decision making.
 Since its launch, we have seen tremendous interest in the CareCloud cirrusAI guide, with over 400 customers signing up or expressing interest in this transformative tool. We remain committed to providing this product free of charge to our existing clientele as we continue to define our AI technology and improve outcomes. In just the past several months, cirrusAI guide has facilitated thousands of recommendations underscoring our dedication to delivering actionable insights and exceptional service.
 Continuing our commitment to advancing health care technology, we are proud to introduce our latest offering, cirrusAI Notes. This solution revolutionizes the transcription process of provider patient interactions, delivering precise clinical notes in real time within a secure HIPAA-compliant environment. Operating seamlessly during patient consultations, CareCloud cirrusAI Notes using [ MBT ] technology intelligently identifies crucial dialogue and medical terminology compiling them into comprehensive clinical notes for immediate review by physicians.
 Upon approval, these notes are securely archived within the patient's electronic health record, ensuring seamless continuity of care. We are currently evaluating and testing this solution with the initial pilot group. Over the next 30 days, we plan to introduce it to our existing customer base at market competitive pricing. Additionally, we are implementing a risk-free trial periods to ensure customer satisfaction and confidence in product.
 Finally, I'm pleased to welcome back Steve Snyder to our executive team as President. Whether it has been a General Counsel, Chief Strategy Officer, President or CEO, he has partnered with me and our broader team over the last 2 decades, and we have all worked together to build a world-class game-changing company. I will now turn the floor over to Stephen. Steve? 
Stephen Snyder: Thanks, Hadi, and thank you to our investors for joining today's call. As Hadi explained, we are very pleased to see early signs that the fruit of the company's hard work is beginning to come to fruition. In particular, we've seen year-over-year increases of more than 200% in our free cash flow. Our cash from operations has increased by nearly 300%, and we posted $129,000 of GAAP operating income versus a loss last year during this quarter of $223,000. 
 We believe that these numbers are not mere aberrations. Instead, they are the direct result of decisive actions taken by the company that are starting to be seen in our financial statements. There are snapshots of the trend line that we believe is moving strongly in the right direction.
 Between October 2023 and today, we have identified approximately $22 million in annualized cuts that we plan to execute before the end of 2024. Additionally, we have identified and taken preliminary steps on other material cuts that will not be seen until 2025 due to contract term requirements. As to the 2024 reductions, we have already taken action on approximately 75% of the $22 million in reductions. That's why we expect an in-year impact during 2024 loan of approximately $15 million in reduced expenses. But let's focus for a minute on a specific example.
 Prior to 2024, we continue to rely on 3 different partners who provided R&D resources at a combined annualized cost of approximately $3 million. We inherited these partnerships in conjunction with various acquisition closings. As part of our cost rationalization assessment, we developed an action plan for transitioning this work to our internal R&D team members and expect to realize net annualized savings of approximately $1.9 million, with in-year savings of $1.4 million. Better yet, as we leverage our team, we are able to more tightly control and accelerate the development efforts without the operational risks associated with relying on third parties.
 By focusing on doing more with less, we are becoming a stronger, more effective and more nimble company. Since our founding, our competitive advantage has always been centered around our cost-efficient global team, our core technology strengths and our unique integration capabilities. The more we lean into these strengths, the more we are able to reduce costs and the stronger our platform becomes. These are but a small number of the multitude of expense reductions that have already occurred or will soon occur, some of which will save us $15 million during 2024 and far more as we move forward. I'll now turn the floor over to our Interim CFO, Norm Roth. Norm? 
Norman Roth: Thanks, Steve, and thank you all for joining our call today. I would like to start by reiterating Hadi and Steve's sentiment that we are pleased to report that our first quarter results were in line with our expectations and we are on track to achieve our full year goals of returning to profitability and positive cash flow.
 In the first quarter, we reported revenue of nearly $26 million. While down year-over-year, the bulk of the decline $2 million was due to Med SR, which is a project-based professional services business that tends to fluctuate. Med SR had softness in the second half of last year, which is continuing. So our expectation is that our second quarter professional services revenue will be similar to first quarter but we are hopeful that we will see some growth in the second half of 2024.
 More importantly, our direct operating costs decreased by almost $3 million from Q1 2023 and our operating expenses, including G&A, R&D and sales and marketing expenses decreased by $2.4 million. We reported positive GAAP operating income of $129,000 for the first time since Q4 2022, and our GAAP net loss decreased from $401,000 in Q1 2023 to $241,000.
 We reported adjusted EBITDA of $3.7 million in the first quarter. Our GAAP earnings per share was negative $0.02 compared to negative $0.28 in Q1 2023. This improvement in profitability translated into an improvement in cash flow. Our net cash provided operating activities was $4.1 million, almost 4x Q1 2023 and our free cash flow was $2.2 million compared to negative $2 million last year. Please note that free cash flow is a measure of cash we generate from operating and investing activities and does not take into account the use of cash during Q1 of 2023 for our preferred stock dividends.
 Our free cash flow allowed us to pay down $1 million on our SVB line of credit during Q1 and still end the quarter with $4.1 million of cash, an increase of $800,000 from December 31, 2023. We paid down another $1 million on the SVB credit line during April. Reducing our SVB line of credit balance by generating positive free cash flow is a top priority for us and is a prerequisite to being able to restart the dividends on our preferred stock.
 I'll close my comments by reiterating our 2024 guidance. We continue to expect revenue of $118 million to $120 million and adjusted EBITDA of $21 million to $23 million. We expect to see steady quarterly revenue growth throughout the year, and as we hold the line on expenses, this means that our adjusted EBITDA and cash flows will grow even faster than revenue.
 The first quarter results put us on a good footing for the year ahead. We're happy with our progress toward returning to profitability and look forward to updating you later in the year. With that, I'll turn the call over to Mahmud for closing remarks. Mahmud? 
Mahmud Haq: Thank you, Norm. Our primary focus is on disciplined operational improvements, setting the stage for profitable and sustainable growth, ultimately creating long-term value for our shareholders. I would like to thank our employees, customers and shareholders for their continuous support in furthering CareCloud's mission. Operator, please open the floor for questions. 
Operator: [Operator Instructions]. And your first question will be from Jeffrey Cohen at Ladenburg. 
Jeffrey Cohen: I guess firstly, could you talk about yesterday's press release. Maybe give us a little flavor on that as far as the capital structure update in the announcement yesterday. 
Stephen Snyder: Sure. Jeff, thanks for the question. And maybe, Jeff, if we kind of step back for a minute, as you know, it's pretty common for public companies to receive these sorts of inbound expressions of interest in one format or another. And as a general rule, they don't necessarily publicly disclose them all, and we're no different in that regard. But for this particular indication of interest, the Board thought that it was important to provide disclosure. As context to explain to your point, why we selected Citizens JMP to analyze the overall capital structure and to provide guidance with regard to potential changes to the capital structure.
 And those changes, of course, would be changes to ensure and to protect the best interest of the company and also the best interest of all the shareholders. So by providing some more granular details, at least on a high level with regard to the indication of interest. We thought that was helpful, again, to pull out the differentiation, at least this particular party was making with regard to the treatment of the preferred As and the Bs. In the context of a change of control, the context, of course, being that in change of control with regard to Series B.
 In effect, the buyers of the common stock would ultimately pay the accrued dividends and the liquidation value of $25 in conjunction with any transaction. And at least this particular indication of interest was silent as to the Series A, and again, the Board thinks it's important to receive some guidance from a bank like Citizens JMP with regard to any possible modifications of the certificate designation that could address this disparity. 
Jeffrey Cohen: That's helpful, Steve. Could you give us a sense, was that a PE fund or a competitive company in the space? Or any color there is appreciated. 
Stephen Snyder: Sure, sure. It was a leading PE fund. 
Jeffrey Cohen: Got it. Okay. And then secondly, for us, any comments on the line of credit? Where does it stand there and what would you expect it to look like throughout 2024? 
Norman Roth: So thank you for the question, Jeff. So right now, the credit line is $8 million, and -- and let me just give you a little fact, if I could, just on the credit line on the dividend. So we have the $20 million line of credit with SVB. And then last December, we had about $10 million -- we had $10 million on the line. And the bank made it clear that if we continued paying the dividends, we wouldn't see any relaxation of the covenants in order for us to access the remaining $15 million on the line, either for business needs or pay preferred dividend.
 So we made the painful decision to suspend the preferred stock dividend last December. Same time, we continue with our plan to reduce expenses across the company, and our focus became achieving positive free cash flow and profitability. And as of today, as we previously said on the call, we've identified approximately $22 million in annualized cost reductions and 2024 at least savings approximately $15 million, approximately equal to our annual dividend.
 Our free cash flow was $2.2 million. We currently plan to continue repaying the line from our cash flow. We want to see several more months of positive cash flow that would cover the dividends before we have a specific discussion about reinstating the dividend. We paid down $2 million on the dividend to date. The balance is $8 million. And of course, the Board and the management are very confident about the future of the company, which is reflected by the 38% insider ownership.
 Mahmud Haq, our company's founder, has increased his ownership over 5 million shares compared with the approximately 4.8 million shares we had at the IPO. So it's such a large inside ownership interest, our founder, rest of the company's office directors have best interest in ensuring that the company's efforts will be successful. Hopefully, that answers your question. 
Operator: Next question is from Allen Klee of Maxim Group. 
Allen Klee: Yes. Congrats on the profitability improvement. A question on your guidance. You commented that you expect revenue to increase each quarter for the rest of the year. We know that first quarter is seasonally low, so we would expect to jump up in 2Q. But could you kind of give us the playbook for why you expect 3Q and 4Q to continue to grow after that? 
A. Chaudhry: Thanks, Allen. So as you rightfully said, the first quarter typically has a seasonality and those numbers are competitively -- will be down compared to the rest of the quarters into the year. Where we see -- and I mentioned during our prepared remarks that if you look at our digital health offering as an example, sort of the revenue year-over-year increased by roughly 4x.
 So we do see the increase in the revenue coming from, whether it's the digital health offering, whether it's our -- the sales that our team has made for our technology-enabled solutions. So it's a combination of our entire suite of proprietary solutions, RCM solution, digital health solutions. And towards the second half, there could be some contribution from different AI, the products and services we are offering. 
Allen Klee: I have one other follow-up question on the expression of interest. You noted one of the series has to be redeemed. The other one could be left outstanding. If it was left outstanding, I'm assuming though, it's still a liability of the acquiring company, right? Is that true? 
Stephen Snyder: That's correct, Allen. Yes, they would still in the context of a transaction, we still have all the same obligations that we would have relative to the As. 
Operator: [Operator Instructions]. Your next question will be from Bill Sutherland at Benchmark. 
William Sutherland: Welcome back, Steve. I was thinking on the cost takeout, maybe one or 2 other important examples that you're counting on for the target. 
Stephen Snyder: For sure. Thanks a lot for your question, Bill. Again, if we kind of step back for a minute and we think kind of big picture in terms of where we're at, since we initially discussed the overall reduction in expenses as a project back in the fourth quarter of last year. We've identified $22 million roughly in annualized cost savings. And if we kind of think about what our competitive advantage of the company has always been, it's really been the ability to leverage kind of our cost-efficient fully integrated team.
 One, kind of the second core part of that competitive advantage has been our technological capabilities. So our IT, R&D team, and then third has been our ability from an integration perspective to integrate additional solutions that we're launching and also the context of growth to leverage those capabilities to fully integrate new clients, both in organic growth and also historically an acquisitive growth.
 So if we kind of think about that -- those kind of core competitive advantages, as we really lean into those advantages frankly, the more we lean into those, the more we're capable of reducing costs and candidly, the stronger the company the platform becomes. And in terms of specific advantages, I mentioned one of them, which was the reduction of a handful of R&D vendors who we've been working with as a result of acquisitions in the past. That's one example.
 But even from the perspective of -- kind of -- if we kind of zoom out in terms of IT, we have about -- out of that $22 million, there are about $7 million roughly in annualized savings that directly relate to this IT and R&D capabilities. Again, the ability to leverage our team very effectively with regard to IT and R&D solutions.
 And as we're looking for cuts, we're looking to eliminate redundancies both in terms of vendors and personnel. And in particular, we're highly focused on doing this in a way that doesn't impact clients. So we're looking specifically and strategically for us that are not client-facing. And that also won't have any -- that also shouldn't have any impact in terms of near-term and long-term revenue generation. 
William Sutherland: Okay. Will you have additional restructuring -- or yes, onetime charges to realize the cost saves? 
Stephen Snyder: Yes. Good question. And we'll hand the floor over to Norm to jump in on that. 
Norman Roth: Thank you, Bill. So we're estimating about another $400,000 for the remainder of the year and restructuring charges. 
William Sutherland: Okay. Yes, I've been thinking about your revenue trajectory. And to what degree do you kind of see it in the sales pipeline at this point since you're just launching these AI products? 
A. Chaudhry: Right. So I think, Bill, you should look at it from the overall -- overall, I would say the new revenue or the growth perspective. Let's look at from the net new revenue perspective. We are doing much better so far into the year when it comes down to attrition as an example. Annualized attrition at this point is much better than what we did last year. So we are focusing extensively on making sure we retain the existing revenue.
 The second, in terms of -- from the top line, the revenue is we see the increase in the revenue from digital health standpoint. All the rest of the bookings for RCM and technology enabled, we -- if you just look at the first quarter this year compared to the first quarter last year, there seems to be -- we are doing as good as we did last year or slightly better than that on the RCM and technology-enabled side.
 So between the RCM, digital health and improving on the attrition, we see the net new revenue growth into the upcoming quarters. In addition to the initial seasonality impact in Q1. 
William Sutherland: So I guess you're saying not as reliant as I thought on the new products? And are you looking for the chronic care and the other remote monitoring? 
A. Chaudhry: Correct. The CTM RPM will be, which is a digital health solution, there is a revenue growth as the clients have continue to ramp up, and they are more in the onboarding process and going live in the upcoming quarters. So yes, there will be a growth coming from there, growth coming from RCM.
 The AI solution, if you think about it, there -- so one of the products, which is since we are still reliant on which is -- oversee the AI guide on our partners, Google Cloud and using their LLM. And as we know that more technically speaking, the AI hallucination needs to be reduced and significantly improved before we can put those in production with the price point. So we are working through those things.
 For this recently launched [ NBN ] AI technology solution, the cirrusAI Notes, this technology seems to be pretty much more mature compared to this other one. And that's why we believe once we are done with the initial pilot group testing and optimization. We're going to put a price tag to it and then we'll share it over the next 30 days. We do see some revenue coming out of these products towards the second half of the year. It's hard to predict at this point that how much in terms of the dollar that's going to be but that's the -- you should think about it in terms of just the top line in our guidance that it's part of that guidance. 
William Sutherland: Right. And I know it's very competitive space now, the documentation side. 
Operator: Next is a follow-up from Allen Klee. 
Allen Klee: Yes. Just a couple housekeeping of when the 10-Q might be filed and what your share count currently is? And then I have one follow-up after that. 
Norman Roth: Thank you, Allen. So the 10-Q will be filed tonight at 4:30 right after the market closed. And our common share count right now is about 16.1 million shares outstanding. 
Allen Klee: I'm sorry, could you say that again? 
Norman Roth: I'm sorry, we're going to file the 10-Q tonight 4:30 after market close, and our common shares outstanding is 16.1 million. 
Allen Klee: Okay. And then one follow-up question on the unsolicited offer. The third-party bank that was hired to evaluate it was to look at the offer and you wrote in the press release to also make recommendations that might be beneficiary to yourselves? Is the way I read this that, that means that they recommended that the terms of both of the preferred stock should be changed related to the redemption provisions? 
Stephen Snyder: Good question, Allen. And we've just recently retained Citizens JMP. So they're just starting their work right now. But again, the -- a core part of their focus is really on kind of the issues that you're alluding to, which is the Series A and the Series B and really analyzing the certificate designation in particular, with regard to changes of control as it relates to Series A in particular. So we'll have to see what guidance they provide ultimately, but that will be a core part of their overall focus. 
Allen Klee: One other -- on last quarter's call, I think you might have mentioned something about launching CareCloud PRIME. Any update on that? 
A. Chaudhry: Yes. And that -- as we move that into production and we continue to onboard and transition more and more clients from our existing platform to this new platform. So that process continues. 
Allen Klee: And any commentary on CareCloud Wellness? 
A. Chaudhry: Right. So the Wellness, as I mentioned, if you look at it from the Q1 2023 to Q1 2024, the revenue, you can see that has increased by almost 4x and we continue to see the momentum. And it's -- though it took us a little more time initially to ramp this thing up. But now with a more patient onboarded, more practices onboarded, we continue to the increase in that revenue. 
Allen Klee: Okay. And then finally, with Med SR, you mentioned that you kind of think that revenue -- that it was a little sluggish 1Q and probably stays at that level in 2Q. Last quarter, you talked a little about opportunities with Meditech. Any commentary on what opportunities might be there to improve this in the second half? 
A. Chaudhry: Yes, sure. So Bill, over a few -- sorry, Allen, if you look at it there, basically, there is a health system space related project revenue, which is, as we know, the highest share is Epic than it's between a number of other players, but we work closely with Meditech and then there is an RCM play. And then they could be different other staff of CIOs and the training and the like. These are the main revenue drivers of Med SR.
 RCM, the last year, the revenue was compared to the 2022. By 2022, we were able to increase RCM revenue by roughly 300% compared to an acquisition level. I think we see either the same or some growth in the RCM related revenue through Med SR relationships. The Meditech or the Epic. So first of all, with Epic, we don't do any large projects since the time they considered us to be in the competitive position. So there is a very small piece of the overall Epic-related projects we could have done or Med SR could have done compared to prior to the acquisition.
 So Meditech, we continue to work closely and the revenue continuously grow over the last 2 years on the Meditech side. But there is, at the same time, a dependency on the Meditech's own growth for the year. How many sales they have made, how many projects they have implemented because then there is a direct correlation in terms of the growth from the Meditech or Epic and the like. So I think we continue to believe it's going to be either the Meditech or RCM or maybe some work from an Epic side that we have room for. 
Stephen Snyder: Sorry to interrupt. But I was going to say, to Hadi's point, maybe one thing to think about is especially on the Med SR side, of course, we're talking primarily about nonrecurring project revenue. So in terms of the overall revenue mix, and as Norm [indiscernible], there's some softness in that. And while we see lots of exciting opportunities to really expand revenue and especially on the -- especially in terms of the overall products in terms of generative AI, we're excited about that.
 I think as a team, we're really focused this year, primarily on generating cash flow. And that's kind of step one in our overall kind of thought process is how do we get to on an annualized basis $20 million free cash flow. How do we get to $21 million, $22 million? How do we achieve that and secondarily, an important aspect of that will be, of course, expanding revenue and growing revenue.
 But I think as you think about and kind of watch us this year, I think really test us and judge us in particular by our ability to generate free cash flow primarily. And then secondarily, really be thinking about the long-term ability to grow revenue. Revenue growth will come and will be a key part of our overall kind of what we bring to the market in this year and the years to come. But I really think the emphasis -- I think if you focus on free cash flow, that would be the place to focus. 
Allen Klee: That's helpful. I'll ask one more question. cirrus Notes, which sounds pretty exciting. I'm trying to understand how that would be positioned in the market. Is my understanding that this is an all software solution that then gets approved by the clinician, the doctor? Does that mean that this might competitively, is this trying to go after like just the pure transcription users that are out there, the scribes which is kind of the lower end of the ambient solutions? Or is it somewhere else that you would say that it's focused within the choices? And just a follow-up, does it create the note like instantaneously? Or is it -- is there a time delay and someone has to look at it? 
A. Chaudhry: Good question, Allen. And I think you understand this competitive space very, very well. Our product basically is -- so in the real time, it listens to the patient provider, the doctor conversations and convert that into a note instantaneously. And as we will roll it out, so it could be just a pure technology play where the doctors came with it and can add in the notes that they feel necessary and can save it as is.
 And in addition to that, it could be a technology plus resource play where our, let's say, the doctors or our team members, they can look at it and can make the edits after listening to the recorded conversation as well. So it will be a technology plus a service play as we continue to roll this out. And like any other product, our first target market is our existing client base. We would like to roll it out to all of our existing client base before going after the market for new sales. 
Operator: And at this time, Mr. Roth, we have no other questions registered. Please proceed. 
Norman Roth: Yes. Thank you, everyone, for attending the call. Have a great day. 
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we ask that you please disconnect your lines.